Operator: Good day, and welcome to the IAC Reports Q2 2015 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jeff Kip, Executive Vice President. Please go ahead.
Jeff Kip: Thanks very much operator. Good morning everybody, welcome to our second quarter earnings call. With me today is Joey Levin, CEO of IAC; and Greg Blatt, Chairman of The Match Group. As a reminder, we will not be reading our prepared remarks on this call. They are currently available on the Investor Relations section of our Web site. Before we get to Q&A, however, I'd like to remind you that during this call we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in the second quarter press release and our periodic reports filed with the SEC. We will also discuss certain non-GAAP measures which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our press release, and again to the Investor Relations section of our web site for all comparable GAAP measures, and full reconciliations for all material non-GAAP measures. With that, we'll go right to Q&A. Operator?
Operator: [Operator Instructions] And we will take our first question from John Blackledge with Cowen & Company. Please go ahead. Your line is open.
John Blackledge: All right, great, thanks. Just two questions on Match, one on HomeAdvisor. In Match, North American Match, total paid sub growth was 12%. Just wondering what the core North American Match or ex-Tinder user growth was roughly. Then similarly, what was the international paid sub-growth ex-Tinder? Then in the 2Q '15 guide you mentioned ramping marketing spend at Match, but then in your prepared remarks you mentioned that marketing spend was actually lower. So just wondering what drove the lower marketing spends. And then just maybe on HomeAdvisor, top line growth was really strong again, 5 million in EBITDA was better than we had. That implied I think mid single-digit EBITDA margins. Just can you talk about how we should think about the ramp in HomeAdvisor's EBITDA through the rest of the year, and then over the next couple of years? Thank you.
Greg Blatt: All right, John. On the sub-growth reach, Tinder was a major contributor to both. I think I said last quarter, that in general we don't break apart our businesses. And I told you last quarter that our Tinder breakout was a one-time-only deal, given its launch. I can tell you that Tinder is a significant part of the growth in both North America and International. In North America, it's -- first, some perspective; Tinder actually has more paying subscribers outside of North America than inside of North America. At the same time, ex-Tinder, our North American subscriber base is much bigger than our international. So those two things combine to have Tinder's growth be much more impactful on overall sub growth rate in international than in North America; growing great in both. On the North America side, ex-Tinder as I said, we pulled back on marketing a bit. In international, we spiked marketing a bit. So that's a driver as well. I think when you talk about the marketing -- I don't recall, I think specifically that we were planning on ramping marketing in Q2 over Q1. If I did say that, we didn't do that. Really, what we did is we followed a much more historical pattern, which is -- and maybe it makes sense to go back and talk about marketing a little bit in depth, because I know it's a matter of interest on this particular call. In general, first half, our marketing spend is up about 10% year-over-year for the first half, all FX adjusted. It's up 13% in Q1. It was up 5% in Q2. Sequential decline of about 25% in marketing spend this year between Q1 and Q2, versus a 19% sequential decline last year. So in general, there's always a sequential decline in our marketing spend between Q2 and Q1. It's just the marketing environment. Rates are cheapest in Q1, and for our category receptivity happens to be the greatest. In North America, this year we spiked hard in Q1, up 18%, and are flat in Q2. International, again, sort of the opposite, we were up 7% in Q1, and up 20% in Q2. All that is a way of saying that we are increasing marketing throughout the portfolio in a way consistent with historical trends, even higher frankly, but we take a very disciplined approach to marketing overall. We build the plan on a product-by-product basis at the beginning of the year, trying to optimize for both sub growth and profit growth. Then, as we go through, we stack rank [ph] throughout the year, and we spend where the spending is most profitable. Those collection of things led to a big spike in Q1, opened up some good mobile channels, wanted to make sure we got to spend in. Then we pulled back, because we got good user growth, wanted to take some profit. That's why I think the lesson here is don't read too much into quarter-to-quarter marketing trends in this business ever. We've said that before, and we'll say it again. Overall marketing spend is increasing. It's driving growth. And I could go into a lot more detail here on our marketing dynamics if anyone is interested. But just in answer to that question, I wouldn't want you to get too bogged down in the fact of it. North America marketing in Q2 was flat. I think that's just the output of a complicated algorithm, if you will, that determines how much we spend where, and when.
Joey Levin: On HomeAdvisor, this is Joey, and I'll let Jeff chime in here, as I get it wrong, but [technical difficulty] with the HomeAdvisor performance. And it's been growing nicely. We expect it to continue to grow. We expect EBITDA to continue to grow. We're not going to optimize for near-term profits on this business, but we're -- because we see huge opportunities for investment both in sales and in marketing, and that's starting to yield results. Where you see the EBITDA coming, that's the leverage in the model starting to come to fruition. We've got more service professionals in the network, better service professionals in the network. And that leads to more efficiency on our marketing. So that all starts to drop down to the bottom line. Now, we'll continue to spend into that by growing sales and marketing. But I do expect for the rest of the year we'll grow profits a little, and into next year. You want to add to that?
Jeff Kip: Yes, I just think that the only thing I'd add is you have to realize that this year we tripled our TV spend, and we've grown our SP base 30%, at the same time that we've grown the quality of the service provider, which means they cost more to acquire, but their profit tail is larger and longer. So with the big ramp in marketing, and the big ramp in quality SP, you have a bigger profit tail, and you get natural leverage coming after a year of significant ramp up.
John Blackledge: That's great. Thank you. Thanks.
Operator: And we'll take our next question from Jason Helfstein with Oppenheimer & Company. Please go ahead. Your line is open.
Jason Helfstein: Thanks. A few questions, just to dig a little bit more deeper, in the press release when you said North American PMC growth was a step behind fourth quarter's growth rate. Can you just go a little more deeper? Did it grow ex-Tinder in the U.S.? Can you maybe give us that? I mean, we can tell you what we were guessing. It grew in the first quarter. Just a little more color behind just that. Secondly, have you seen changes in the competitive environment around dating? And then thirdly, as you guys are thinking about what this company looks like post the IPO of Match, can you talk about the desire to improve -- to perhaps reorganize or give additional disclosure, perhaps making HomeAdvisor or Vimeo as separate segments? Thank you.
Jeff Kip: All right. I didn't get the first part of your question about Q4 versus Q2, but…
Jason Helfstein: Just the comment in the release, you said, the quote was "Second quarter North American PMC growth was a step behind first quarter's growth rate. Can you just go -- was it positive? Was it positive or was it…
Jeff Kip: Yes, I'm sorry. I thought you said fourth quarter; first quarter. Yes, we have positive growth -- positive sub growth in North America ex-Tinder. There were a number of things. We pulled back marketing spend. We bought HowAboutWe in Q2 last year, and that was basically a run off. We had sort of a negative impact there, where we bought some subs basically at a very low price, and basically ran them off, which kept [ph] things down. So definitely ex-Tinder it was lower than it was last year, but it was positive and mostly reflective of just a pullback in marketing once you normalize for the noise.
Joey Levin: And lower than it was in the first quarter.
Jeff Kip: Sorry. Lower than it was in the first quarter, yes. Once you normalize for those things. In terms of competitor environment, competitor environment is remarkably stable. If you look at the top five dating products in the U.S., four of them are well over 10 years old, and the fifth is Tinder. The gap between usage in the fifth biggest and the sixth biggest is dramatic. There have always been small numbers of small players. Over time, some of those have gotten big. [Technical difficulty] I mean OkCupid once was a small player that got big. It happened over 10 years. The same with PlentyOfFish; eHarmony and Match spent a lot of money to get there. There's no one out there really spending to grow the way Match and eHarmony were before. I think you've got this incredible outlier in Tinder that cracked this code. That grew, in two years, into the biggest dating product in the world. Nothing before or after has been able to replicate that DNA at all. To me it's very stable. Could one of the small things that exist today someday be big? Absolutely. But given that nothing came up like a rocket ship, like Tinder, you wouldn't expect some dramatic acceleration. I think it's an incredibly stable competitive environment, and frankly, no different than it has been in the seven or eight years I've been involved in this category.
Joey Levin: On segments, I'm taking a look at that now. We'll make a change if it makes sense. There's certainly some arguments for a different look at the segments, and we're considering all those now.
Jason Helfstein: Thank you.
Operator: And we'll take our next question from Ross Sandler with Deutsche Bank. Please go ahead. Your line is open.
Ross Sandler: Hi, guys. I got two for Greg, and one for Joey. Greg, the prepared remarks mentioned that you want to expand Tinder's use case, but beyond that of a typical dating product. Elaborate a little bit what you meant there. Then, second is the PlentyOfFish acquisition looks like a great deal for you guys. But what, I guess, core competencies or capabilities do they bring to the family that maybe you didn't have already. Then are you guys going to disclose specific metrics around Tinder. I know you're not giving forward guidance, but metrics around Tinder in the upcoming filing. Then, Joey, on search, it looks like you guided to sequential increases from here. Any update on the Google renewal? We notice that the Java deal went away from you guys. Any materiality in that agreement or any color there will be helpful. Thanks.
Greg Blatt: Thanks, Ross. On the single [ph] use case, I guess the point I was making is, there are always, when you think about price development, there's -- I think about price development in four different buckets, at least in our kinds of products. There's this kind of development you do that is sort of invisible to the world, but very important. Which is making sure you can scale, making sure that -- we just fixed a bug, where literally swipes per user went up double digits just by fixing a bug. There are lot opportunities in that bucket. Then you've got the bucket that are visible, but sure not game changing. It's changing algorithms, improving filters, matching [ph] and all that. We've got tons of opportunity there. There's modernization. Where we've done one thing so far, which is the Tinder Plus features that we launched, in February, had amazing growth there. There's no question that we can monetize this product really well. Then there's the fourth bucket, which as I call things that users see and they say, "Wow, that's really different and cool," and drives user growth, excitement, etcetera. We've got things in that bucket as well that we're working on. Typical dating products really do three things. They provide a community. They provide filters by which you can search that community. And they provide the ability to message with other members of that community. That's what they all do. We think Tinder has the potential, within dating, to do more than that. And we think it's one of the only products that has that potential, and we have resources dedicated to that. We're very excited about it. No time table. It's just these are the things that we're sort of allocating our resources to. And we think it's got big potential. I could say more but I'd have to kill everybody on the call. So I will leave it at that. Sorry. There were other things as well; PlentyOfFish, great acquisition. We're paying low double-digit multiple on trailing EBITDA. Can't get into the future on it, sorry, about a 13 multiple of trailing EBITDA. We'll be disclosing the historical financials for PlentyOfFish I guess within the next 90 days or whatever the time table is. It's growing well. It's a business that has solid user growth, but even better on that monetization ramp that we watched OkCupid go through for several years. That's really exciting. We think we'll get good growth out of it. In terms of competencies, in general, I think we bring certain competencies to the table which I just think we're good at running these things. We've got a system of analytics. We can deploy wins and losses across -- wins across the portfolio quickly, and prevent mistakes from being duplicated. Just operationally, we think we've got abilities there. Then when you think about our portfolio, and the way we go about building it, we buy or launch product that have special resonance with particular groups. What that does is it effectively brings down -- brings up the net lifetime value of a user. Meaning it's the relationship between the ability to monetize a user and the cost to acquire that user. When that's the greatest you have most profitability. And it varies dramatically from population to population, and from site to site. So PlentyOfFish is a big product. It has a lot of overlap with a lot of our products. But it also has a real hold on what I will call a less metropolitan geographic base in the U.S., and an older base in the U.S., than do, say, certainly OkCupid and Tinder. It, from an age demography, it matches Match more. But from a sensibility perspective, in terms of the intent levels and how heavily it's monetized, it mimics Tinder and OkCupid more. And that really creates this big patchwork, where you have the older population. And again, plenty PlentyOfFish has plenty of younger people too, but it has an older group also which OkCupid and Tinder don't. We think it's highly protectable. It's a lucrative group. And if I were looking at it from a straight, sort of what part of a landscape does this fill in that you don't already have, that would be it. In terms of Tinder metrics disclosure, we're going through that process evaluating matrices to disclose now. I reiterate what I've said before, which is we're in this weird position where Tinder is still a very early start-up company. We're trying to protect it from the burdens of being a public company as much as we can, while recognizing the fact that it is part of a public company. I go there. I'm the mean corporate overlord who wants this number and that number. They look at me like I'm from Mars, because they're focused on growing the business. And I try and balance those two things out. So I know that there's lots of metrics you would like to get. We're looking at disclosing as much as we can without impacting the growth of the business, and its rhythms, and that will come out in the wash when we file.
A - Joey Levin: On Google, we're -- nothing to report right now. We're, as I've said before, we're in active discussions right now as you would imagine. And there's multiple people interested in the business. When we have something to report we'll certainly obviously report something, but nothing to say right now on that. On Java, it was a -- the nature of these deals, especially with the partner like Java, which is a relatively stagnant user base, large but stagnant user base, is they do turn over every few years. So if you look at the history, they were with Google for a few years. Then they were with Microsoft for a few years. Then they were with us for a few years, and now they transitioned to Yahoo. What happened to the relatively stagnant user base is that the offer becomes somewhat saturated, and then it's just less attractive for both the partner and the incumbent in there. So I wouldn't read too much into that in terms of competitive implications. It's sort of the scale for us, that business for a lot of the same reasons I just said, it probably peaked in year-three of the relationship. We had, I think, four one-year deals with them. I think it peaked in year three of the relationship. We're not happy to ever lose a commercial deal. But it certainly is survivable, the loss. And the B2B business is so profitable, notwithstanding the loss of that particular partner.
Ross Sandler: Great. Thanks guys.
Operator: And we'll take our next question from Brian Fitzgerald with Jefferies. Please go ahead. Your line is open.
Brian Fitzgerald: Thanks guys, and maybe related to Ross' question on the Java and the Search. Overall gross margin, surprised on the upside, how would you guys rank the leverage driving that? Then on the PlentyOfFish acquisition, I think you mentioned raising debt. Have you mentioned how much you're looking to raise or the timing around that? Thanks.
A - Greg Blatt: I'll take the second one first. Yes, I think, look, Match was -- I mean, PlentyOfFish cost $575 million. We're going to raise that. I think that it is probably likely that Match of the business, given its characteristics that I think ought to be a net GAAP company. It has high margins, lots of cash flow, positive working capital, and is growing nicely. So I think that we'll borrow for PlentyOfFish probably, and then some. And the amounts that we borrow will be very manageable and supportable by the business. Joey?
Joey Levi: I didn't understand the question. Can you say it again?
Brian Fitzgerald: Yes, so it was around the -- around Search and the Java deal going away. Can you walk through how that impacts the gross margins? Because it felt like gross margins surprised nicely. So thinking about, was Search a major driver there? How would you rank the levers for the upside in gross margin in this quarter?
Joey Levi: I'm not thinking about -- I'd have to look at the gross margin actually. And focused on the difference in the gross margin -- I don't know, Jeff, if you got that. On the EBITDA margin I can speak to that more familiarly. But some of the revenue that we lost sequentially quarter-on-quarter was lower margin revenue. So the loss there is less impactful. But the -- we'd have to get back to you on the gross margin. I hadn't focused on that.
Brian Fitzgerald: Okay. Thanks, guys.
Operator: And we'll take our next question from Peter Stabler with Wells Fargo Securities. Please go ahead. Your line is open.
Peter Stabler: Good morning, thanks. So just two from me; Jeff, you talked about it being an investment year for HomeAdvisor. And I think in your prepared remarks or, Joey, your prepared remarks note that you expect margin improvement. I'm wondering if you guys could frame a three-year margin expectation for us. Can you put a bracket around it? Is this is a 15%, 20%, north of 20% or what kind of expectations you have there? And then, secondly, for Greg. Any color on Tinder monetization comparing U.S. revenue per user to international, realizing you're not going to give us exact numbers, but any direction or color would be appreciated. Then final one for Jeff, a balance sheet question, on the debt side, with the IPO of Match, would you expect Match to be classified as in an unrestricted subsidiary, as defined in your bond indentures? And if so, would that require a debt repayment? Thanks.
A - Greg Blatt: On Tinder monetization, first I'll say that it's going great. The way these things work is that when you launch a monetization feature, you get your biggest bump at the beginning, because your feature is exposed to the entire population for the first time. After some period of time, additional monetization tends to be generated predominantly by new users coming in who haven't seen it yet. So you have a bump, and then you have a steady build, until you launch the next monetization feature, which then has the same impact again on users to whom that appeals. So we had a nice bump at the beginning. And what we've been pleased about, since last we spoke, is that the build has continued to be quite solid. So we feel very good about -- we feel very good about Tinder's ability to monetize, as I said. Renewal rates, all of that going great. Penetration rates are at or ahead of schedule, so we feel good about that. In terms of monetization or rate, basically U.S. and Europe -- Western Europe are pretty comparable, and then rest of world is a fraction of that. I don't want to give out an exact number, but certainly the blended international rate versus the North American rate is, I would hazard a guess, it sort of in the 50% range. What's been great is that the penetration or the subscribers is actually much more balanced than I would have expected between North America, Western Europe and rest of world. I mean, the ability, as I said on an earlier question. Prior to Tinder, so much of our base was -- two-thirds of our paying user base was North America. Tinder has effectively inverted that. So overtime we think that brings things into balance. We're really excited about the -- we knew it would do great in the U.S. and Western Europe, and we're very pleased with how it's done rest of world.
Joey Levin: In terms of HomeAdvisor long-term margins, it's a tough question to answer. I don't want to frame it specifically as 15% to 20% or north of that in the cards. I think, yes, absolutely. In terms of what time frame, I don't know. I don't want to frame it specifically. If you look at a consumer market place business like this, margins like that and north of that are certainly potentially achievable. But the things that will drive that are the metrics that we're seeing, and the metrics that are moving in the right directions. So you look at consumer repeat right. That's moving up. You look at service provider retention, that's moving up. That's moving up very nicely. When you -- those things can deliver real leverage in the model, and can start to drop margin down to the bottom line. But I don't want to put a timeframe on it. I don't want to put a specific number on it. But I do think that healthy margins is something that we could see over time in this business, for sure. Do you want to add to that?
Jeff Kip: I just think, the other two factors I'd add to this is, we think that online -- the leading online players are probably high single-digit penetrated in the overall home service to the advertising market. So there's a lot of room to run and grow here, and to invest against. And our goal is to be the leading player. Not to grow to X -- margin X within three years. And then I just think that secondly, this is the business that has a lot of pricing power. But we would use that very carefully, because our goal is to be the leader. So that's a factor in there too.
Peter Stabler: And then finally, Jeff, do you expect to be forced to pay debt?
Jeff Kip: Look, the comment I'd make there is that there is a debt raise we could do that would require some repurchasing of some debt. However, we haven't made any final decisions around what we're doing. And when we know what the scenarios are we'll have a clear communication on that. 
Peter Stabler: Thanks.
Operator: And we'll take our next question from Brian Nowak with Morgan Stanley. Please go ahead. Your line is open.
Brian Nowak: Great. Thanks for taking my questions. I have two. The first one is on Tinder monetization. In the press release, you talk about how strong the monetization is, the renewal, the conversions, re-subscription rates, and there's no discernable negative correlation between monetization and growth. It sounds like its coming along well. With that as a backdrop, why make the decision [technical difficulty] back that Tinder revenue curve a bit, and what are you changing that's going to push back the Tinder revenue curve versus what you previously anticipated? And then the second one, on The Match Group; it sounds like some of the technological and organizational projects are a little bit behind. Can you just give us an update on the $500 million of Match EBITDA, in 2016? Thanks.
Jeff Kip: Sure. On the Tinder monetization, well, it goes back to an answer I gave to an earlier question, which is we've got a bunch of different products -- a bunch of different buckets that we look at product development in. And we have extremely limited, although growing, resources in which we tackle all those buckets. And I think if you look back really over the last however many quarters we've been talking about, I've said that monetization is going to end up being much more uneven than whatever modeling anyone would do on it And this '15 will be choppy because of it. I sort of made that point repeatedly. And I think as -- we brought new management in, and we looked at all the opportunity. We're going to roll out some monetization features -- additional monetization features. But there are so many other things that we feel we need to do or should do because the opportunity is so great, that it's just not --it's just we don't have the resources to do all these things at the same time. And it's a start up, and you're constantly looking at opportunity, and gaining new information insights. And again, I mentioned something we did two or three weeks ago where we devoted some resources. We increased swipes per user by 10% or double digits. That's a huge lift to the business. I'm not saying that -- I'm not making a prediction about revenue -- what revenue will or will not be because a whole lot of things factor into it. I'm just saying that when we talked about -- a few quarters ago, we laid out that OkCupid sort of analogy, and made the point that they had 14 significant product initiatives, and countless other smaller ones to drive their monetization. They were in a later stage of development, and had focused a lot on their product before then, and so could more heavily concentrate their monetization. As we get into this and we dig deep there's so many opportunities here that we need to spread our resources across these various things. We've nailed monetization. We're confident that the product monetizes. And really it's just a question of resources, and where they're hitting, when. In terms of the 500, I really can't -- I said in the prepared remarks, I've got a barricade full of lawyers who are saying that, given that we have an offering announced, I really can't give any kind of forward-looking information in that. We laid out a lot of things here. But I can't comment on that specifically. Sorry about that.
A - Joey Levin: I just want to come back to the question raised by Jeffries earlier on gross margin. You're looking at the overall IAC GAAP P&L, not a Search gross margin number. And to your point, you have B2B business being a little lighter, and the B2B rev shares shows up above gross margin, whereas the costs in the consumer business are below gross margin, and so that's where the expansion is coming. I think that's where you're going with that, if you want to get back on the line and correct me. But I think you're looking at the overall IAC P&L rather than some specific Search thing, which is where we were trying to figure out what you were asking. We can go to the next question.
Operator: And we'll take our next question from Dan Kurnos with Benchmark Company. Please go ahead. Your line is open.
Dan Kurnos: Great, thanks. Greg, just to maybe get into some more specifics on Ross's earlier question on the PlentyOfFish acquisition. Can you just talk about maybe some of the mobile learnings or successful opportunities or functionality that might translate directly to Tinder? And conversely, it seems like PlentyOfFish has a decent amount of room for, I guess call it technical improvement. And so from a high level perspective how aggressively do you think you'll need to spend to modernize the overall platform? And then Joey, could you just comment or update us on the general trends in the B2B market. Are they still continuing to get less worse generically understanding that you have lapped [ph] most of the historical issues and this is of course outside of their ridiculous Yahoo Java deal, which they overpaid for, or are you guys getting the sense to Google is trying to enter into an elongated exit of the affiliate search market? And since it looks like you've mostly stopped buying from Google with Ask, can you talk about any organic content driven traction you're seeing their understanding that we're still really early in the reset? Thanks.
Greg Blatt: Okay. First I think that PlentyOfFish is a great business. It's a great product. I think it's the number two in terms of usage, and it's doing a great job on mobile. It's one of the things where you add it to the portfolio. It brings things to the portfolio. We bring things to it. They probably nailed Android better than we have. And that's a big learning opportunity coming back the other way. We've nailed couple of other things lot better than they have. And that learning goes that way. I think it goes both ways. I don't think of it as being especially relevant Tinder or vice versa. It comes into this blender. And OkCupid has done a bunch of things that we're doing on Tinder. They've done something that wouldn't make sense on Tinder and there are some things that will make sense on Tinder that wouldn't make sense on the others. And our job is to pull all these things and deploy them effectively. But I certainly think that there will be learning back and forth. In terms of modernizing, I think there's some work we have to do behind-the-scenes on showing up some scalability issues and some datacenter issues, but it's small money. And I don't expect there to be some major modernization or technological rebuild at PlentyOfFish. They're actually quite sound and works quite well. And the product as they have it has great appeal to the group to their user base. And I think that's one of the things that you always have to remember the reason we have multiple products is because different things appeal to different people. And we try and -- our strategy is generally to keep the individuality of the product, while deploying common features that should simply enhance, but not sort of reduced to commonality across product.
Joey Levin: I'm trying to get these in orders. So, on the B2B business, it is -- I'm not going to call the bottom right now, because I've just been -- well, frankly, I have been wrong on that before. And there's volatility in that market. I think very recently we've seen some small signs of strength there. But I'm not prepared to call bottom on that B2B market. I think there's a lot of things shifting in that marketplace and continuing to shift. As far as Google's view on the network and network partners, they are absolutely still interested in that business. They are absolutely pursuing partnerships in that business. And I think some of the changes that have happened in the marketplace all have unique components to that. I think I'm not going to speculate on others -- what matters to others in other deals, but AOL deal with Microsoft had a component of display, which I know is important to both of those players. The Mozilla going to Yahoo went to the -- the one player in the market that didn't have their own browser. So there are other factors that are in there, but I don't think you can read into that, that Google is not interested in the market because they're still interested in it. I think the last question the content that asked and organic growth. We actually are sequentially in the last quarter trying to teach some growth in the organic content. It's still small. But we're investing in the content. We're investing in the quality of the content, the production, and we're optimistic about what can happen there, but still early and small.
Dan Kurnos: Great. Thanks, guys.
Operator: And our next question comes from Heath Terry with Goldman Sachs. Please go ahead. Your line is open. 
Heath Terry: Great. Just a few questions, on the B2B side of the search business, can you give us an idea who the biggest partners are there, where you're seeing the most traction in the business at the moment given the way that we're seeing so much evolution and that business over the last couple of years? And then on the Match side, just couple of numbers that would be useful, can you give us the sense of the contribution level from Princeton review just so we can try and get some sense of the organic growth rate with the Match been coming any interest in being more specific about your ownership level at Tinder? And then given the comment around the challenges of Tinder being part of a public company and the fact that we've got a very friendly private market valuation environment out there, why not take advantage of what seems to be that set to allow them to grow as a private company as opposed to continuing to tap to deal with the pressures of being part of a public company?
Jeff Kip: I'll go first and then turn it to Greg. On B2B partners, we're not going to disclose who our biggest partners are. I mean we talked about areas that have been and are important to us, antivirus is a big one, and likely will continue to be a big one. But in terms of different partners we're not going to get into that.
Greg Blatt: Okay, on contribution level, PPR this year is flattish in terms of overall contribution. Ownership level of Tinder --- again, we owned 100% of Tinder there's then management equity as well, which gets reflected in our IAC fully diluted share number. So effectively it's not unlike sort of IAC stock options. It gets reflected in there. When we file with Match there will be whatever disclosure that is attended upon that it will then be in the -- presumably in the Match fully diluted share number and we'll give whatever disclosure is necessary there, but we own 100% and then the rest is compensatory equity. I'm sure with the private company markets; look, we think there are big advantages of being part of the Match group. I think that from the modernization we've done and the speed and efficacy with which we were able to do it. I think their big advantage is it flow both ways. I think could we raise the money in those markets? Sure, but sort of to what end, to actually deconsolidate the business and alleviated the pressures you're talking about will be to effectively sell Tinder. And we just don't think that makes any sense. Again, I manage whatever public company pressures. There are over time. Those will dissipate, and we think the tradeoff is a no-brainer that keeping those assets together at least at this stage of development makes lot of sense.
Heath Terry: Okay, great. Thanks.
Operator: And our next question comes from Chris Merwin with Barclays. Please go ahead. Your line is open.
Chris Merwin: Thank you. So in the prepared remarks you mentioned how online dating increasingly moves to mobile. It's changing the way that you acquire customers and the efficiency of certain channels like TV, so do you think the unit economics of customer acquisition on mobile can still be as good or better as those of more traditional channels and has the competitive environment change those in an economic in any way. And then just secondly for Vimeo I think you call that as a investment, that should make during the quarter, can you may be just provide some clarity on what those investment are and what the impact of this could be at either user growth or monetization?
Jeff Kip: Sure. On the marketing side, there is a bunch of dynamics that play here that go into our marketing. But the first is the cost, which we can acquire new users. And the second is our ability to monetize those users. And what's happening here is sort of on both sides of that. Our opportunity to get volume new users from the traditional channels that desktop advertising -- television advertising is definitely being constrained at the kind of rates that we've seen before. At the same time, new channels are opening up particularly on mobile. We have not yet really cracked the code in digital video, although we're certainly starting to look at it. The net affect to that so far has been we're actually able to acquire more users at a lower cost than we've been able to in the past because we're getting pretty good on the mobile side. The challenge is that mobile users that we're acquiring tend to be younger. Younger tends to monetize less well. As well as the fact that our mobile products are so nascent still in terms of -- they just don't have the conversion to modernization capacity that our desktop products have had. And while we're improving that as we go we haven't been able to keep up with the mix shift to mobile. The net effect of that is effectively neutral, meaning we're acquiring more customers cheaper, but they convert lower and the net effect is basically even. So we're used to historically increasing the effectiveness of our marketing every year that allows us to market more and still grow profit. For the last year or so, we've been in sort in neutral. We've still been increasing our marketing spend, but increasing our marketing spend without sort of incremental yield. That's been the case. But as I talked about before I think it's sort of transitional which is the migration to mobile is more behind us than in front of us. We already this quarter match acquired 65% of its new users on mobile. It's not going to go to a 100 anytime soon. It may someday but desktop will continue. So the room it has to go on versus where it's been a smaller end. So once that comps and that mix shift slows, and as we continue to improve the conversion piece of the mobile, this whole thing reverses. And we feel that over time we should be able to start increasing the profitability of a marketing again which then starts at flywheel. We've been able to grow despite that because of a good contribution from non-paid channels and products like Okcupid and Tinder, which will allow us to grow and continue to increase our marketing spend even though we're not increasing the marketing efficiency. We're not losing overall marketing efficiency. And we do think that that will re-bounce. So I've used the word transitional period for three or four quarters now. I'm not going to project exactly when that is. We're 65% mobile on Match now. You guys can get as well as I can. Where is that going to go and over what period of time. But certainly with 65% behind us is it's more behind us than in front of us. So we feel good long-term about that dynamic.
A - Joey Levin: On Vimeo, we're really investing in three things. Marketing is one, for sure. Content is the other end, and creator tools is the third. Creator tool is really the backbone to the business because that's what drives the creators into the business, which gets them to upload their content, which gets the subscribers and users etcetera. So that investment in the product, fundamentally. Contents, we've been dabbling in contents, investment, and we're not investing massively there. But it is something where we've been sort of filing out the suite of content on Vimeo with some investments there, in terms of backing creators, and then marketing. So we've done a bit of marketing. We've grown our marketing this year as against last year. And probably all three of those things continue.
A - Jeff Kip: Just one somewhere in the earlier questions, I had said that I thought international rate on Tinder was about 50% of North America. It's actually a little better than that. It wasn't far off. But it's a little better.
A - Joey Levin: Okay. I think we can go to the next question.
Operator: We'll take our next question from Eric Sheridan with UBS. Please go ahead. Your line is open.
Eric Sheridan: Thanks for taking the question, maybe just two, following up with Greg. Greg, when you look at the portfolio of assets that you now have inside the Match group. Do you feel you own that sort of that whole stack of demographics and niches that you want to own for the long-term in Match, or how should we think strategically about some of the areas you might still want to address? And then you've also talked on and off over the last year about the potential worries about cannibalization as some of the niches sort of creaked into all the areas that make your properties like Tinder became mainstream, what are you seeing in terms of spending on dating and whether a gloss in one area is timing growth in another or you're not seeing any signs of cannibalization? Thanks.
Greg Blatt: All right. I think I've said for a while now that there's nothing that we need to own strategically. I mean PlentyOfFish is a business that we've looked at for a long time. It's a great business. It became available. We're able to get it at a good price and a good process, and we feel really good about the acquisition. But if we hadn't gotten into it, it wouldn't have -- what is missing in some fundamental way. I think that continues to be true in North America. Internationally, there are certain geographies that we could get into where we're not we recently bought a small business in Japan that really we think has the potential to crack the code there for the first time. So that's exciting. And there are other opportunities like that. And in Europe generally, I'd say our portfolio is not as flushed out as it is in North America, so there are probably more opportunities there as well. But I think they all fall into the -- is it a good deal? Does it solve some fundamental -- does it allow us to acquire a new group of customers at a more profitable basis in our existing products? And you do the math and all those things filter in and see there something that's worth doing or not. So I'd expect there to be more acquisitions yet. Is there anything that we need, or is it I feel there's a risk we might overpay for, or pay aggressively for? I've got enlightened. We feel pretty good about our ability to grow of what we got. And so I think that's unlikely. In terms of cannibalism, I can't -- we think about it the following way at. Sort of said this earlier, we're looking at acquisitions we sort of look at does this acquisition or new product launch give us the opportunity to acquire a meaningful group of customers on a more profitable basis than what we've got. And to the extent, the answer is yes, and that size and its big enough and the cost of getting it, and obviously our acquisition or launch makes sense in relation to the opportunity. We'll go in there. What that does is that allow us with some new property to acquire a group of users. It would have cost us more on another property to acquire. The net result of that is a more profitable consolidated company, but it's inevitably with any given one of our products is probably smaller than it would otherwise have been, by buying our time and launching that product in the over 50 crowd. There's no question that we pulled back marketing spend on Match for that crowd because it's easier to acquire some group of that crowd on our time. So in that way does our time cannibalize Match yet? Same with Tinder, lower cohort, so invariably our approach leads to certain of our products being smaller than they would be the standalone business, but overall larger and more profitable. And I guess that's the best way I can answer that question.
A - Joey Levin: I think we can go to the next question.
Operator: And we'll take our next question from Kerry Rice with Needham. Please go ahead. Your line is open.
Kerry Rice: Thanks a lot. Just one question on HomeAdvisor and more of a high level question. Have you seen any changes in the competitive dynamics in the home services market particularly as you see newer companies like Amazon enter the market? And then maybe what are your thoughts about consolidation in the home services market.
A - Jeff Kip: Yes, it's obviously something we're watching very closely, and there's been a bunch of announcements over the last few months in terms of new players entering the market, or speculate to enter the market. Look, one thing we know from being in this business for 10 plus years is this is a very hard business. You have to build a real high quality service professional network. You have to deliver real high quality value to the service professionals, and you have to deliver a comprehensive experience to the consumer. That's not an easy thing to do, even for really massive company. Companies, whose business model is built on getting their providers high volume and low margin, that doesn't work for a service professional. Service professional have to make margin on every job. And you have to give them a service that enables them to do that. Service professional don't want to compete with a fly-by-night sort of random person who may be able to fix your sink, but won't deliver that sort of quality job because they'll do a poor job at a lower price. So being able to evaluate the quality and ensure the quality of a search special network is they hugely valuable thing. And again not just something that shows up when you have a huge source of traffic. I don't want underestimate any of the competitors. And I think having a huge source of traffic is certainly valuable. But there's a lot more to it than that. A lot of people, some of the news lately is there are players who are learning this, and people have gotten into the business, raised a ton of money, and gotten out or gotten rescued, it sort of feels that looks like rescues. So we're taking the competitive market very seriously, but we're also very confident in our product and the uniqueness of our product and the value of the network that we built overtime. We've also probably invested over time. I'm making up a number, but it is a billion dollar the infrastructure is something like hundreds of millions of dollars infrastructure on that which is real, real money and real time we have invested in that. In terms of consolidation there are arguments for consolidation in terms of the value of growing an FP network, but all of those things really add to the evaluated on individual basis. And they have to have business models that work or assets that work. And we'll always be looking at those things for sure.
Kerry Rice: Okay, thank you very much.
Operator: And we'll take our next question from Mark Mahaney with RBC Capital. Please go ahead. Your line is open.
Mark Mahaney: Thanks. Two questions, can you talk about what sort of pricing power you think you may have in the dating space, any evidence of pricing power? And secondly can you just talk about the timing of the close the PlentyOfFish acquisition versus the Match IPO and the logic for having one proceed the other? Thank you.
Greg Blatt: Hey, on pricing power, we've got -- most of our product experience is free and that will continue to be so forever. So we don't think about it in terms of pricing power. I think our businesses frankly compete with each other. They're each trying to optimize their own LTVs and everything else. And I actually don't think -- it's not a situation where we are a single product that has -– our market position is an aggregation of multiple products that compete with each other, and outsiders with different price points and features. And again, I think that in a world where there are multiple products that have a complete and viable free option and will continue to, I don't really think about the world in that way. I don't think that logic really applies. In terms of the sequencing of PlentyOfFish, totally we -- PlentyOfFish became available, we wanted to buy it. We bought it. That takes the amount of time that it takes. Wanted to go public, that takes the amount of time it takes. We expect PlentyOfFish to be done prior to the IPO. If it had gone the other way, it would have gone the other way. I think there's no strategy there. I think it's irrelevant basically and we're just doing each of them as quickly as we can and that's the way it lays out.
Mark Mahaney: Thanks, Greg.
Operator: And we'll take our next question from Victor Anthony with Axiom. Please go ahead. Your line is open.
Victor Anthony: Thanks. Maybe talk to about the media segment a bit, some assets in there; Electus, IAC, films, unsure about your rational for continuing to own these assets, maybe you could have enlighten us on that. And second just on the decision to float less than 20% of shares of Match what went behind that decision versus doing a full spin-off?
Greg Blatt: I got the first question which would I think what are we doing in Electus and the media segment. I did not get the second question.
Victor Anthony: Second question was why float less than 20% of Match instead of the spin off?
Greg Blatt: Got it. On Electus, it's something that we have some history and it's something that we have some expertise and something that is we seem to be doing a decent job at. I mean you look at the independent television producers that have those volume of shows that we have on television is a pretty remarkable accomplishment. And we've done that relatively efficiently on capital. The game that we're in there is you need some of those shows to really break out of this. And if or when they do, you make real money. And if they don't, it doesn't cost you a lot of money to stay in there and so we're making some bet there based on a good team and a good history in that business. On the second question which is why less than 20%, I think less than 20% is pretty typical to create an active trading market in -- oh sorry, the question was versus spin-off, at any given point when a business reaches a certain level of scale, in fact to drawn out the dialog at the rest of IAC, we look at how to give investors access to that business directly on long-term value etcetera. And so there is a range of things on the table. And when we look at how to optimize that decision across all the assets that I see, and I feel it's the one that made the most sense. We think it is good time to raise capital. We think we can unlock some shareholder value there. I think Match gets an independent currency, which is going to be useful for them. And IAC retains they have to match that, and so that's really the thinking of course you preserve the ability to spin at some point in the future, and that's why we're thinking about it.
Victor Anthony: Thank you.
Joey Levin: I think the operator will take one last question.
Operator: And our final question comes from Ignatius Njoku with JMP Securities. Please go ahead. Your line is open.
Ignatius Njoku: Hi, guys, thank you. Thank you for taking my question. Can you talk about the advertising platform for Tinder? How is that ramping? Can you give us some feedback in terms of advertiser? How that's going, and how should we expect the ad platform develop throughout the year? And next is can you talk about the technology overhaul for the dating business? I know you mentioned delays, but can you give us some sense on where you are? Thanks.
Greg Blatt: On advertising question, this is one of the things that we sort of push back. There is some add revenue this year. We've done a few deals. But again in a world of scarce resources, we opted not to develop meaningful time this year to developing the roadmap necessary to really maximize that ad business. I think that will come -- unquestionably become the huge demand from advertisers. And again, if we had a thousand engineers, even a hundred engineers, we will be able to do a lot more things at once than we are. We're scaling our resource capacity. But it's not there and just in the ranking of things. We know the ad demanded is there. Our capitalization on it this year is limited. We will grow next year, I'm sure, but if not prepared to lay out any quantification of that at this time. Things are moving too quickly. Turning to technology project, there's a lot going on. We consolidated a bunch of officers in Europe. We went from seven. I think now we're at four, but we'll soon be at three. Huge reorganization involved in that. We have restructured. A lot of the tech teams are overhauling the basic infrastructures of the Match technology, the Meetic technology. We'll consolidate that on the U.S. side. And I think that it's going well. It's just you predict. It's going great as such you predict over a multi-quarter period how long it will take and as you get into it, you'll realize it will take a few more months than not basically where we are.
Ignatius Njoku: Thanks.
Jeff Kip: Thanks very much, everybody. As always, if you have follow-on questions, we are here for you.
Joey Levin: Three Tom Brady, have a good one guys.